Executives: Linda Pazin - Vice President of Investor Relations & Communications Angel R. Martinez - Chairman of the Board, Chief Executive Officer and President David Powers - President of Omni-Channel Thomas A. George - Chief Financial Officer and Principal Accounting Officer
Analysts: Robert Scott Drbul - Nomura Securities Co. Ltd., Research Division Camilo R. Lyon - Canaccord Genuity, Research Division Evren Dogan Kopelman - Wells Fargo Securities, LLC, Research Division Randal J. Konik - Jefferies LLC, Research Division Taposh Bari - Goldman Sachs Group Inc., Research Division Sam Poser - Sterne Agee & Leach Inc., Research Division Jeffrey Wallin Van Sinderen - B. Riley Caris, Research Division Scott D. Krasik - The Buckingham Research Group Incorporated Eric B. Tracy - Janney Montgomery Scott LLC, Research Division Corinna Van der Ghinst - Citigroup Inc, Research Division Omar Saad - ISI Group Inc., Research Division Christian Buss - Crédit Suisse AG, Research Division Laurent Vasilescu - Macquarie Research Erinn E. Murphy - Piper Jaffray Companies, Research Division Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division Jim Duffy - Stifel, Nicolaus & Company, Incorporated, Research Division Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division Danielle McCoy - Wunderlich Securities Inc., Research Division
Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Deckers Brand's Second Quarter Fiscal 2015 Earnings Conference Call. [Operator Instructions] I would now like to remind everyone that this conference call is being recorded. I will now turn the call over to Linda Pazin, Vice President of Investor Relations and Corporate Communications.
Linda Pazin: Welcome, everyone joining us today. Before we begin, I would also like to remind everyone of the company's Safe Harbor policy. Please note that certain statements made on this call are forward-looking statements within the meaning of the federal security laws. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact are forward-looking statements. These forward-looking statements include statements related to the company's anticipated financial performance, including its projected revenues, expenses, gross margin, operating margin, capital expenditures, earnings per share and effective tax rate. These statements may also relate to the company's brand strategies, store expansion plans, inventory management systems and customer retention policy, as well as the outlook for the company's markets and the demand for its products. The forward-looking statements made on this call are based on currently available information. The company's business is subject to a number of risks and uncertainties, some of which may be beyond its control, and actual results may differ materially from the results expected at the current time. The company has explained some of these risks and uncertainties in its earnings press release and in its SEC filings, including the Risk Factor section of its Annual Report on Form 10-K and its other documents filed with the SEC. Listeners are cautioned not to place undue reliance on forward-looking statements, which speak only as of the date hereof. The company disclaims any intent or obligation to update any forward-looking statements after the date hereof to conform to such statements to actual results or to changes in our opinions or expectations, except as required by applicable law or the rules of the New York Stock Exchange. As a reminder, we have posted supplemental information about the 2015 second quarter in a document entitled Second Fiscal Quarter 2015 Commentary. This document is on our corporate website at www.deckers.com. You can access this document by clicking on the Investor Information tab and then scrolling down to the Featured Reports heading. We believe the approach of providing this additional background information to you will make it easier for you to digest the financial information from the quarter and free up more time on the call for explanations of our performance and outlook, discussions of our strategic initiatives and Q&A. With that, I'll now turn it over to our President, Chief Executive Officer and Chair of the Board of Directors, Angel Martinez.
Angel R. Martinez: Well, thanks, Linda, and hello, everyone. Tom, George, Chief financial Officer; Dave Powers, President, Omni-Channel; and Zohar Ziv, Chief Operating Officer, are also on the call. We delivered a very solid quarter with revenues and earnings up over 20% compared to the same period a year ago. Anchored by our company-wide consumer-centric focus, we believe our evolving Omni-Channel strategy and compelling product offering has allowed us to drive increased conversions across our retail and E-Commerce channels. We believe that our current momentum has the company well positioned as we head into our biggest, most important selling season. Our second quarter, the quarter ending September 30th, is a transitional period for our business. The UGG, Teva and Sanuk brands summer collections wrapped up a solid selling season as consumers responded favorably to our improved offering of sandals and casual shoes. At the same time, HOKA continued to grow at a rapid pace, driven by increased distribution of the brand's innovative running shoes that are now reaching a broader consumer audience. We started shipping our fall collection for our global wholesale accounts in the second fiscal quarter and began resetting the presentations in our Direct-to-Consumer channel to reflect the change in seasons. This fall, we focused the UGG brand on providing customers with a more compelling offering of casual fall boots and shoes featuring a sharper opening price point. Our strategy had a positive impact on our sell-in, which was the primary driver of our second fiscal quarter growth. Sell-in for the fiscal quarter was ahead of our projections as some international and domestic wholesale customers requested earlier deliveries into this quarter. In terms of sell-through, it has been a good start to the fall, with consumer demand for our collections up nicely over last year and in line with our expectations. Starting with the UGG brand, transitional sneakers, casuals and slippers sold well early in the second quarter, and this was followed by casual boots as consumers responded positively to the styling and stronger price value relationship we introduced this year. With temperatures turning cold in recent weeks, sell-through of weather boots and classics have gained pace across the majority of our markets. As we move deeper into the fall season, our classics, including specialty classics, slippers, fashion and cold-weather boots, historically our best-selling collections, will become a better percentage -- rather bigger percentage of our merchandise offering and the focus of our marketing efforts. We're also having success outside of women's. Men's casual shoes and boots have consistently sold well since our THIS IS UGG campaign with Tom Brady kicked off at the start of the NFL season. At the same time, early reads on UGG Home and lounge wear, 2 small but burgeoning category for the brand have been very strong. Both of these categories will have strong presentation this fall and holiday in our DTC channel as well as in many of our important wholesale customers, including Nordstrom, Dillard's and Neiman Marcus. So overall, we're clearly seeing the benefits of our expanded UGG product line as we build on the strengths of the UGG brand to increase our exposure to new audiences and improve our performance across all seasons. Teva's performance continues to benefit from the work we've done, positioning the brand's original sports sandal with promotional platforms and events that are culturally relevant to today's market and the audience we want to reach. Our integrated digital PR social and sponsorship campaign has generated over 500 million impressions year-to-date, significantly broadening Teva's consumer reach. The Originals Collection has been a halo for the brand's entire product line, helping drive sales of flip-flops, casual shoes and boots, and hiking boots during the second quarter. To build on current momentum and extend the brand's selling season, this month, we launched an innovative collaboration campaign with Woolrich, titled Socks And Sandals. The collaboration pairs Woolrich's -- wool blend socks from Woolrich to complete the pattern, webbing and color ways of the original universal sandal, and is exclusively being sold at Urban Outfitters, teva.com and woolrich.com. In addition, we are pulling forward a select 2015 introductions in time for the start of the gift-giving season to further support selling, especially in warmer weather locations. Looking ahead to next year, we're refreshing our Originals line with new colors and new materials, while at the same time leveraging the Originals DNA to launch a new collection of lifestyle footwear, featuring canvas casuals and boots for men and women. Turning to Sanuk, sales of women's sandals, especially from the brand's popular Yoga Mat collection, performed very well during the quarter. On the men's side, new styles of the brand's iconic Sidewalk Surfer as well as new canvas casuals helped drive sales. The plan is to build early momentum for spring '15 over the next 2 quarters by emphasizing new product introductions in stores and on our website, including women's Yoga Ballet flats, our women's Cat Collection of casual contemporary shoes, and men's casual with a focus on the stylish Boulevard Collection. We believe that we have a great long-term potential for Sanuk with the casual footwear market, and believe that we can leverage the brand's authentic surf heritage into more mainstream opportunities. Turning to HOKA. The second fiscal quarter was highlighted by the introduction of the award-winning Clifton, which had a very positive impact on the brand's performance and market perception. With a more commercial aesthetic, the Clifton has broadened HOKA's consumer appeal and helped bolster its position as a serious player in highly competitive world of performance running. The Clifton won Editor's Choice Award from both Runner's World and Competitor Magazine, which has validated HOKA for many runners. The recognition and broad appeal of the Clifton has come at an important time for the brand as we prepare to expand distribution of HOKA beyond running specialty doors and international sporting goods chains early next year. We expect to add distribution of the Sports Authority, Finish Line and Hibbitts Sports starting in January of 2015. These sporting goods chains, combined with Sports Chalet and others, will put us in 100 sporting goods stores by spring of 2015, and in addition, we're launching a trail running shoe exclusively for REI, called the Challenger ATR, which will be featured this holiday season in all 136 REI doors. So overall, we're very pleased with how the brand is progressing at this stage and we're excited about the broader distribution opportunities that lie ahead. In support of our strong product collections this holiday season, we've invested in our most comprehensive marketing plan to date, THIS IS UGG, the brand's first global brand marketing campaign, which launched in mid-August, will anchor our consumers' outreach strategies across all media, including print, digital, social, in-store and out-of-phone. Continuing with the theme of connecting with consumers on a more emotional level, by showing how the brand fits into consumers' lives, we created 4 expansions of THIS IS UGG for the holidays: This is Magic, This is Joy, This is Warmth and This is Cheer. Each showcase is a different key holiday classic or slipper style against the backdrop of a creatively executed snowflake. This campaign will feature both women's and men's styles and will have a focus on gift-giving. We're also incorporating a new classics campaign aimed at generating top-of-mind awareness of our classic products, reminding consumers of the love for our heritage iconic boots and their special place in their lives. Our holiday media plan launches on November 17 and runs until December 28. For this period, we're taking the wins from a successful holiday campaign last year and expanding our relationship with our top-performing partners to create targeted advertisements at spike at key times during the season. We'll also be very active on social media with content that ties to seasonal events, such as the arrival of cold wet weather, holiday travel, and of course, gift giving, as the UGG brand is one of the most sought-after holiday gifts in the world. I should note that our new weather-related creative on the UGG side and merchandising focus is also helping drive conversion and sales in our women's boots category. We're seeing that there is a very attractive opportunity for the UGG brand to grow in the rainy weather category, and we intend to put more focus on this area in the fourth quarter. We're really excited about what we planned from a product and marketing standpoint for the holidays, and we believe that our combined efforts will drive consumers to our global Omni-Channel network of retail stores, E-Commerce website and wholesale partners. Now let me turn the call over to Dave, who will discuss our Direct-to-Consumer business and our international wholesale and distributor businesses in more detail. Dave?
David Powers: Thanks, Angel. Our Direct-to-Consumer business posted a solid gain with second fiscal quarter totaled sales increasing approximately 26% over the same period last year, and DTC comparable sales, which includes combined worldwide retail same-store sales and worldwide E-Commerce sales increasing approximately 3% compared to the same period last year. Store traffic was challenging this quarter, particularly in areas that experienced above-average temperatures during September, such as the Western U.S. and Europe. We were able to partially offset this headwind by improving conversion by double digits versus a year ago, which we believe underscored the effectiveness of our recent efforts to elevate the in-store experience and expand the breadth of our product offering. We remained focused on evolving our DTC model to quickly adapt to changing consumers' shopping behaviors and preferences. As we continue to innovate, we believe the net effect will be consistent growth of our overall DTC business and a positive impact on the company's profitability. We are continuing to see the benefits stores have on E-Commerce sales in markets where we have opened new stores, affirming our Omni-Channel approach to creating a seamless shopping experience for consumers. In North American markets, where we have opened up stores in the last 12 months, traffic to the UGG side is up on average over 20% compared with a year ago. Further, while revenue for the UGG brand in North America through our E-Commerce site was up approximately 29% in total compared to same-stores a year ago -- to the same period a year ago, we've seen even higher sales in markets where we have opened stores. We expect this trend will continue when we open more stores in under-penetrated, high-traffic areas. We believe that the advancement of our Omni-Channel strategy and the continued rollout of several consumer-centric initiatives are also fueling growth for the DTC channel. Internet UGG, which gives our retail stores the ability to sell every SKU available from the UGG brand through our in-store POS system, is enhancing the consumer experience, improving our inventory productivity and driving higher sales. We recently expanded Internet UGG to all stores in North America and all concept stores in Japan and launched the program in Europe. These sales that captured in E-Commerce, thus contributing to the growth of total DTC. We continue to see positive results from Internet UGG driving revenue to E-Commerce. As these channels continue to become increasingly integrated, beginning next fiscal year, we will only record a combined DTC comp number to reflect our Omni-Channel view of the business peer. This year, we saw our summer casuals and sneakers continue to sell well later in the season than in years past. In addition, many of our new fall casual styles carry sharper price points compared to last year. This combination of factors caused our average transaction value to decrease, which contributed in part to our second fiscal quarter comp store performance. Initial sell-through of our fall 2014 collection have been very solid, indicating a positive consumer response to the merchandise offering, and our increasing conversion supports our belief that consumers are finding the right product at attractive price points. However, the sharper price points have made it difficult to anniversary the average transaction value from a year ago. We expect this headwind to lessen in the third and fourth fiscal quarters when classics, weather and winter products become a much larger percentage of our product mix. By region, Asia-Pacific DTC comps increased 13% to the same period last year, fueled by strong trends in both Japan and China. North America DTC comps rose 4%, and EMEA DTC comps decreased 10%. As we head into the busiest selling periods for our DTC channel, in which close to 80% of DTC revenues are generated in the third and fourth quarters, we feel good about our prospects for growth and believe that we can improve comp store performance. Our optimism stems from several initiatives. Beginning with marketing, our THIS IS UGG campaign, which successfully positioned UGG as the year-round premium lifestyle brand through our casual and fashion offering during the second fiscal quarter, shift to showcasing our classics, slippers, weather boots, loungewear and gift-giving products for the holidays. Our mix of marketing activities is heavily geared towards driving traffic to our brand and driving demand online and in-store key styles. We are doing this to an elevated focus on paid media and search optimization. As Angel mentioned, our holiday program's launched November 17, and the number of activations will ramp up over the Black Friday and Cyber Monday weekend. This includes Europe, where we historically have held back the majority of our marketing dollars until the weeks right before Christmas. For this holiday, we are elevating service across all our DTC channels to make it as easy as possible for our consumers to purchase our product. We've expanded our retail inventory online featured to all concept stores in North America and the U.K. and are seeing really good customer response to buy online, pickup in store, or as I call it in Europe, click and collect. We'll also be providing same-day delivery service in our Manhattan stores as part of our holiday concierge message that highlights how we can make the consumer shopping experience easier during the busiest season of the year. And of course, consumers can buy online and return to any store or vice versa, which is whatever there is easier for them. We'll also take returns on product purchased from authorized UGG brand retailers. We believe consumers responds favorably to our Omni-Channel capabilities and find that we offer a level of in-store technology and service that is above and beyond many other retailers. To fully maximize the potential of our brands and our Omni-Channel vision, we plan to continue to expand our physical and digital footprint. Year-to-date, we have opened 18 new company-operated retail stores, including 10 in Asia-Pacific, where we currently experience the highest returns and highest productivity, and 8 in North America, which have been a mix of high return outlet locations and high-traffic concept stores in major metropolitan cities. Included in our new fleet is the technology-driven concept store in Tysons Galleria, just outside of Washington, D.C. that will open next month. In this store, we will integrate elements of online shopping into the brick-and-mortar experience as we test waves to potentially develop more efficient concept stores for the future. This winter, we are also testing pop-up locations, including our first ever UGG lounge store. This store will feature our luxuriously comfortable slippers, loungewear and home products, and will be open from October to early February. Finally, with respect to our DTC expansion, we launched new country-specific E-Commerce sites for the UGG brand in Germany and Italy during the second fiscal quarter. And in fact, we were recently named the top Internet site by L Magazine in China. Similar to the U.S., this is a key fashion publication in China, and the award demonstrates our progress in delivering an attractive and compelling online experience. Turning to our international wholesale and distributor business. Our newly formed Germany subsidiary has gotten off to a very good start. Our strong performance in Germany during the second fiscal quarter reinforces our decision to convert from a distributor model and take more direct control of our brands in this large and important European market. Specifically in the U.K. and France, traffic was challenging at the majority of our key wholesale partners due in part to the challenging macroeconomic conditions and average temperatures that were 10 degrees above last year during August and September. Looking ahead, our fall pre-work in Europe is up nicely over last year, which is a positive sign for the health of our brands in the region. And therefore, if we get normal winter conditions in northern Europe, we'd expect solid sell-through to drive reorders during late Q3 and Q4. In Asia-Pacific, we launched our partner retail program in China, which for reporting purposes are treated as wholesale accounts. During the second quarter, 9 partner doors in total opened, while at the same time, we transitioned 7 company-operated stores to the partner program. These were locations that were outside major metropolitan cities, which we believe will be better served by local market operators. This will allow our China team to better focus their time and resources on driving sales and stores that are in the 9 cities that we have identified as providing the best returns on investments. We expect an additional 5 partner doors in China to open by the end of this fiscal third quarter. In summary, we believe our global Omni-Channel strategy is paying off, and that the initiatives we are driving across all channels have put us in a sound position heading into the busiest selling season of the year. From an organizational standpoint, we've made great strides in being able to better micromerchandise our assortments by country and execute a more targeted marketing campaigns that connect with consumers on a more individual basis. Despite our store comp in the second quarter, which was a relatively small percentage of the total revenue, we are confident that our multichannel approach has given us the leverage to react to global trends and challenges. Our nimble marketing capabilities, product diversification and evolving retail model, which now includes pop-ups and partner stores, is helping us quickly adjust plans in-season to drive category and channel growth. We believe that our initiatives will continue to elevate our brands above the competition, and once again, make UGG the #1 most desired brand this holiday season. With that, I'll turn the call over to Tom. Tom?
Thomas A. George: Thanks, Dave. As Linda reminded everyone at the beginning of the call, we posted a quarterly financials to our IR website, so my comments on the call are going to be brief and focused primarily on the guidance. We had a strong second quarter. We exceeded our revenue guidance by approximately $22 million and exceeded our EPS guidance by $0.19. The upside revenue was driven mostly by the timing of domestic and international wholesale sales, which shifted into the second quarter and out of the third quarter. The $0.19 EPS increase over guidance is due to the higher sales recorded in the quarter, combined with a shift to some planned marketing expenses to the third fiscal quarter. We plan to increase marketing expenditures in Q3 and Q4 to drive traffic to our brick-and-mortar locations and to our online sites. Based on the UGG brand's second fiscal quarter performance, strong backlog and E-Commerce trends, we are raising our full year outlook. For the fiscal year ending March 31, 2015, we now anticipate revenue to increase approximately 15% to $1.825 billion up from the previous guidance of 14%. UGG brand revenue is now projected to increase approximately 14% versus our prior expectation of approximately 12%. Diluted earnings per share is now expected to increase approximately 15.8% to $4.71, up from our previous guidance of 14.5% growth. This guidance assumes a gross profit margin of approximately 49%, and SG&A as a percentage of sales of approximately 36%, and an operating margin of approximately 13%. Our fiscal year 2015 guidance assumes that the company's effective tax rate will be approximately 29%. Wholesale and distributor sales for all brands were still projected to be at low double digits in fiscal 2015, driven by our Germany conversion, a high single digit increase in UGG domestic sales and continued growth of the HOKA brand. For our DTC channel, our overall sales projections have increased slightly due to the stronger E-Commerce trends for the UGG brand, which are being partially offset by lower store count projections of flat to down slightly. We are now planning for the addition of approximately 30 new stores this fiscal year as we shifted some of our planned concept stores in China to partner stores. For the third quarter of fiscal 2015 ending December 31, 2014, we currently expect revenues to increase approximately 10% compared to the same period in the prior year, and diluted earnings per share to increase approximately 10% to $4.46 per share compared to the same period in the prior year. For the fourth quarter of fiscal 2015 ending March 31, we currently expect revenues to increase approximately 10% compared to the same period in the prior year, and we expect diluted earnings per share of $0.15 per share compared to a loss per share of $0.08 for the same period in the prior year. Finally, we recently completed our sheepskin negotiations for fall 2015 and spring 2016. Lower sheepskin costs per square foot and lower cost to produce UGG Pure, along with higher UGG Pure usage, will result in a mid-single digit decrease compared to the last year. This benefit will partially be offset by higher prices for other raw materials, mainly leather, and an expect the carryover of sheepskin inventory at higher prices. Based on these factors, we believe this will contribute roughly a 40 to 50 basis point improvement in fiscal year 2016 gross margins, overprojected fiscal year 2015 levels. Lastly, we want to let everybody know that we will be hosting our first Investor and Analyst Day at our new headquarters on June 18, 2015. I'll now turn it back over to Angel for the closing comments.
Angel R. Martinez: Thanks, Tom. Well, the changes taking place in the retail environment are nothing short of dramatic. The consumer is now completely in charge and is dictating what distribution models will work and what models will fail at a rapid pace. The days of visiting the mall to peruse and shop have changed and are evolving. Now it's all about building strong brands and creating access to products through integrated, multichannel distribution platforms that make it as convenient as possible for consumers to review and purchase the products they want. And we believe that the investments we're making to further develop and strengthen our brands, to build our DTC footprint and evolve our Omni-Channel strategy are driven by this dynamic. The consumers at the center of everything we do, and we believe our efforts to date are in fact positively transforming our growth trajectory. We're better connecting with and serving consumers on their terms. The recent change in our corporate identity, the Deckers brands, reflects our successful transition from a domestic footwear wholesaler into a global, multi-brand operator. It also encompasses the dynamic nature of our company. Our talented employees, the breadth of our quality, innovative products and our commitment to providing consumers with seamless shopping experiences. Not too long ago, we were facing an increasingly volatile market for sheepskin that was impacting our margins. We address this challenge head on through the rapid development and rollout of UGG Pure, which allowed us to strengthen our footing significantly in negotiating and stabilizing prices. At the same time, UGG Pure has allowed us to expand our product line and diversify into new categories, supporting our ability to deliver robust growth in a less than perfect environment. The development of this initiative and this innovative new material speaks of the nimbleness and the adaptability of this organization. It gives me great confidence that we can continue to stay ahead of the pack as the global marketplace continues to evolve. As a whole, the industry is seeing traffic declines and macro shifts. We believe that our Omni-Channel approach will put us in the optimal position to address these macro shifts in the retail environment. We plan to continue to learn and adapt our strategy as necessary to address these issues in real-time. Going into our peak selling season, we believe that we can continue to drive strong sales and earnings growth, notwithstanding a mixed macroeconomic backdrop and continued pressure on the consumer. We believe we're making the right choices and making the necessary investments in our business to not only adjust to how consumers shop today, but to thrive in this continually challenging global retail environment. But we can never rest, and along the way, we'll continue to refine our strategy and stay ahead of the curve with a goal of ensuring that we maximize our results for the benefit of our shareholders, while supporting the long-term growth of our brands. Operator, we're now ready for questions.
Operator: [Operator Instructions] And we'll take our first question from Bob Drbul with Nomura.
Robert Scott Drbul - Nomura Securities Co. Ltd., Research Division: I guess I have 2 questions. The first one is for Tom. On the shipments that went from the second quarter into the third quarter, just talk -- did you put any numbers around that? And just similarly, the marketing dollars that you're increasing, can you just quantify in either the percentage or how we should be thinking about that expense as we look into the, I guess, your third quarter now?
Thomas A. George: Yes. So Bob, it was some shifting of some revenues from the third quarter in to the second quarter. And if you look at -- to give you a couple of answers to this. So a $22 million revenue beat and about $15 million, $16 million of that roughly was related to the wholesale business and had equated to about 2/3 of the EPS beat. Then the balance was -- and the balance of the beat, about 1/3 of the EPS beat, was due to the expenses, and that's about $4 million of marketing kind of expenses.
Operator: And we'll take our next question from Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: I wanted to just get a little bit more detail on what you're seeing from your wholesale partners since they've clearly increased their deliveries with you. Does that mean that this is fast forwarding the reorder window for you? Or are they just wanting to have more inventory on the floor earlier in the season? I'm just trying to parse out the trajectory of this fast forwarding of deliveries and how that could affect the reorder window.
Angel R. Martinez: Hi, Camilo. Yes, we've had good sell-through so far on the fashion styles, so -- which, I think, has given people a lot of confidence. There was also, as we went into the season, pretty low inventories on products. I think retailers last year were cut short of inventory, so we've had people really step up in anticipation of normalized selling. Wanting to make sure they're not caught like they were last year. And the other component is the sell-through of a lot of the new styles and classic derivatives, for example. I think that, that's been very well received. It was -- it's sold in very well. There's a lot of anticipation in the early response that, that's going to perform, and again, people want to make sure they're covered with inventory.
Operator: And we'll take our next question from Evren Kopelman with Wells Fargo.
Evren Dogan Kopelman - Wells Fargo Securities, LLC, Research Division: My question is on the -- some of your comments around the comps. One of them is you mentioned the average transaction value was down and your expectation maybe that headwind will lessen into the next 2 quarters. Can you put some quantification around that in terms of maybe how much of a pressure it was and how much it will go away? And then secondly, you also mentioned comps in the Western U.S. and Europe, where it was warm, were tougher. Can you give us any commentary on how comps are in the other regions to maybe give us an indication of more normalized comp trend?
Thomas A. George: Sure. So to address the comp issues, one of the things that happened this quarter is that the summer selling season extended. So what happened with regards to the AUR and our average transactions in our stores is the consumers were coming in and they were purchasing, our conversion was up 15% globally in our retail stores. But what they were purchasing was sneakers, summer casuals, more transitional product versus last year. At that time, they were purchasing more boots. And so what we've seen is the weather has impact traffic in places like Europe and Eastern United States, and has delayed the fall selling season a little bit. In markets where the weather has cooperated, it has been a little bit stronger. In other regions, we have seen much better comp results. And so our expectations for going forward is that when that kicks in and our selling season kicks in, the mix of product will shift away from that summer casual transitional sneaker business into our core competencies of boots, winter product going into the holiday season. That will help dramatically in our AUR, which will increase. We're estimating about 5% increase in our average transaction price from Q2.
Operator: And we'll take our next question from Randy Konik with Jefferies.
Randal J. Konik - Jefferies LLC, Research Division: I guess, can you elaborate on a little bit more on where you think inventories are in the channel right now and from your wholesale customers. I guess second, can you give us a little bit more kind of thought process around the color on the gross margin guidance for, I guess, next year around UGG Pure? Is that something that's kind of conservative? And I guess the other thing is, how we thinking about the potential for SG&A leverage next year? And finally, from your wholesale customers, how are they kind of ordering from -- on the classic side versus the fashion side of the business right now?
Angel R. Martinez: So maybe tackle some of those. The first one, inventory in the channel. Inventory in the channel is very good. We feel really good about where that is. We always have a close collaboration with our wholesale customers on that, so we feel very good where that's at. Gross margin sheepskin, I think, those are our best estimates at this point in time based on the negotiation and the elements we talked about in the call. I think we feel really good about what we've accomplished there with UGG Pure and our ability to stabilize our largest commodity cost and continued -- we're on track from a strategy point of view, utilizing UGG Pure and we continue to see the benefit of that. Leather didn't help, but the good news, we had benefit from UGG Pure usage and sheepskin contracts that could help offset off that as well, so we feel really good where that's at. Go ahead -- and regarding the SG&A leverage, yes, that's certainly still the plan. We expect to gain leverage next year. I think you see this performance as well as some of our guidance here, we've done very well starting to eat into that ability to gain leverage. That said, with the opportunity we have with all our brands in this Omni-Channel strategy, we're going to make the appropriate investments to drive a much bigger company here.
Operator: And we'll take our next question from Taposh Bari with Goldman Sachs.
Taposh Bari - Goldman Sachs Group Inc., Research Division: Tom, did the quarter effectively meet your expectations as you shift around timing and expenses? But I guess, a, did the quarter meet your expectations? And then b, how are you thinking about the UGG wholesale growth for the year now? I don't know if my notes are stale, but it looks like the last we heard it was for an op high single digit growth rate, adjusted for the shift. It looks like you're running up 20 through the first 2 quarters of the year.
Thomas A. George: Yes. Regarding the first question, we feel really pleased where the quarter ended up. We described all those drivers. And regarding our wholesale and our distributor business for the year, the entire company, we talked about low double digits. UGG would be lower than that because we've got some strong double digit growth with Sanuk, Teva and HOKA.
Operator: And we'll take our next question from Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: I've just a couple of things. One, can you tell us, you'll say it in the queue, but could you give us what the UGG wholesale dollars were for the second quarter, please?
Thomas A. George: UGG wholesale global dollars were about $340 million.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then I guess the other question is, you said on the last call, you inferred on the last call that the gross margin would be up in Q3. Around the same, it would be up into Q2, but it looks like you were up more than you probably anticipated in the second quarter, so how is that playing out?
Thomas A. George: Yes. I think, Sam, good -- that is a little bit more sheepskin and a little bit more benefit in the quarter from the Germany conversion than we originally anticipated.
Operator: And we'll take our next question from Jeff Van Sinderen with B. Riley.
Jeffrey Wallin Van Sinderen - B. Riley Caris, Research Division: I'm not sure if you broke out what the actual brick-and-mortar comp was in Q2? And then I know you give some commentary around that for Q3, but just wondering what your plan is for brick-and-mortar comp for Q3. And then also, can you give us more color on the currency translation impact, if there was some in Q2? And then also what your -- what you have factored into your guidance for Q3 for currency translation.
Thomas A. George: Currencies for this quarter had not much impact below both the top line and the bottom line. Between -- we've got business in with the euro, with the pound, with the Japanese yen. They sort of balanced out relative to the prior year. And we also have some natural hedges with the operating expenses there, so the net impact on earnings per share was relatively small, albeit, a little bit positive relative to the prior year. I think we did breakout the brick-and-mortar comp. It was in the press release. That was negative 8% -- 8.8%.
Operator: And we'll take our next question from Scott Krasik, The Buckingham Research Group.
Scott D. Krasik - The Buckingham Research Group Incorporated: Just one clarification first, the store counts you're giving us, are those net of conversions? And then secondly, in terms of the product line on health, this seems be the first year where you're using UGG Pure to diversify the line and extend it. Maybe -- I'm sure we'll see it at Fannie in December, but maybe talk about how that's evolving for next year? How much bigger the fall line can be?
Angel R. Martinez: Well, I think we'll continue to do what we've been doing, and that is to build on categories of product that we know we can successfully exploit. Meaning that we saw fashion boots as an opportunity, we clearly saw an entry point with UGG Pure that allowed us to really develop the kind of product that we knew we needed, and we will continue to evolve that. Twinsole on the men's side has been a very important use of UGG Pure, we'll continue to drive that. We think there's categorization opportunity there. Our slipper business continues to evolve very, very nicely. It's very diversified now compared to what it used to be. As you saw, we also have some new product coming out, and again, if you haven't seen it, you'll see it during Fannie. And tread light, which is a very light, it's this R-Mat material that, a version of, which is used for HOKA. Extremely comfortable, easy to wear product that sort of partners with our slipper concept, but is from our streetwear. So again -- and then the other thing is that the continued what we call the UGG classic derivatives, which are always a fun place for color and materials and doing things that round out the full assortment. So I think that the -- it's hard to even explain how much of a liberating component UGG Pure has been to the design team and the ability for us to really see no limitation and the kind of product we can create and the categories of product that are now available to us without having a product look distorted because of the thickness of the shearling. And I think that, that's really been super important for the brand.
Thomas A. George: Scott, just to answer your other question. The store count is net of the China conversion stores.
Operator: And we'll take our next question from Eric Tracy with Janney Capital Markets.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: If I -- can kind of 2 separate, 1 wholesale and then 1 DTC. I mean, first, on the wholesale, I just kind of want to clarify. Again, we're talking about a shift of revs out of 3Q into 2Q, but is it an absolute shift? Or is it really just sort of a pull forward, again, of your retail partners wanting to be better positioned, and therefore, the reorder still very much can come through in 3Q? That would be on the wholesale side. And then on DTC, again, I appreciate the seasonal sort of aspects that are potentially a drag on the brick-and-mortar comp. Is there any kind of thought at all in terms of structurally, potentially, the E-Comm business cannibalizing a little bit of brick-and-mortar? And then lastly, just in terms of Europe DTC, again, do we believe it is all seasonal, or anything on a go-forward basis from just the macro that gives you some concern.
Thomas A. George: I'll answer the wholesale question, Eric. The shift is timing. The Customers wanted it earlier so they had an opportunity to get it on the shelf and it can turn more, and therefore, it does have the opportunity to produce more reorders if that were to occur.
Angel R. Martinez: Yes, Eric. With regards to the E-Comm, I'm certain that there is some cannibalization to our stores. I think we're seeing that in the marketplace, the consumer is shopping more online, they're starting online before they go to stores. So I think there is an element of that, that's happening to everybody and certain embedded in our numbers as well. What we are seeing though, which is a very positive sign, is how stores are fueling E-Commerce in some regards as well. Like I mentioned in the script, in locations where we've opened new stores, we've seen increased penetration in traffic and conversion and sales on our E-Commerce site from those locations. And at the same time, we're driving incremental sales to E-Commerce sites through Internet UGG, which is sales that we wouldn't have had if we had -- not have a store there. So it's like we said on our last call, the 2 concepts are feeding each other. E-Commerce is feeding stores and stores are feeding E-Commerce, and I think that's going to continue. And our model is gearing us up to be ready for that changes in the marketplace and the consumer shopping behavior, which I think will benefit us in the long-term. With regards to Europe, it really comes down to the fact that September was 10 degrees warmer this year than it was last year, and that's had an impact on the total market. I was speaking to our Head of our Wholesale business in EMEA just this morning, and he said that the entire footwear market suffered from that affect. Doesn't give us a huge amount of concern going forward. I know that when the weather shifts, we'll be ready for it, both in wholesale and DTC. But with regards to DTC, our E-Commerce business continues to be strong and we're still slowly getting back into the retail game over there. But our focus will be on Germany for stores next year. Outside of that, I don't see a lot of new retail locations in Europe other than just Germany for next year.
Operator: And we'll take our next question from Corinna Van der Ghinst with Citi.
Corinna Van der Ghinst - Citigroup Inc, Research Division: As a follow-up to the last question, we see earlier shipments and possibility of more reorders in the third quarter. How much capacity would you guys really still have, given your current inventory management, to chase the outlook demand? And just a bigger picture question, I was wondering if you could talk about how you're feeling about the consumer and the winter weather expectations as we get closer to holiday? Has your view on either the consumer or the weather changed since we last spoke to you?
Thomas A. George: Well I can -- let me just start with that last question. The consumer -- right now, I'd say that there's a lot of pressure on consumers and so many things happening in the -- not only the macro environment in Europe, but certainly, people being nervous about various scares that are being put out in front of them from Ebola to whatever else. We're seeing some positive signs around our products. Our brands continue to be in high demand. We're seeing great initial read on our new products for this fall. We think that the diversified product offering has made a huge difference for us. We're being cautious, however, in understanding that consumers are probably going to be out there a little later than normal. That would be my guess. We've also noticed in the last few years that colder weather seems to come a little later than it has in the past, and I think that, that's informing some of, I think, our retailers, in terms of when they want products. They want to measure they're covered early in the season and they want to make sure that we can support them if we get like we had last year, a very extended selling season that goes into what was our Q1 last year would be Q4 this year. So -- and we're in good position around classic product for those kind of fill-ins, and that's really how we build our fill-in inventory. We don't fill in product that is strictly, say, fashion and very seasonable. Those very limited fill-in opportunities on those, but our strength is slippers and classic. We're in good shape on those and we historically have been able to meet retailers' needs what will now be -- and what will now be the fourth quarter.
Thomas A. George: Yes. The other thing I've mentioned there is that for the fourth quarter of this year, we are in a much better inventory position with winter product. Last year, we saw high sell-throughs and we ran out of product last year going into February. This year, we're in a much better position with winter product and also spring-relevant product, which is waterproof and water resistant sheepskin at the same time as well as new transitional boots that will bring us into the early spring season.
Operator: And we'll take our next question from Omar Saad with ISI Group.
Omar Saad - ISI Group Inc., Research Division: Follow up on UGG Pure and I Heart UGG, an update there, how you're seeing UGG Pure perform with consumers in some of the non-traditional categories? And then also the I Heart UGG platform, how is that fitting in? Are you comfortable with how it fits in and within the kind of broader UGG brand?
Angel R. Martinez: Yes. As far as UGG Pure, we've had 0 pushback from consumers. It's been extremely well-received. What we did upfront, as we said, it has to be indiscernible in terms of consumer value and what it delivers from a field point of view, and we've achieved that. It is 100% virgin wool, so really, nothing is different in terms of what's contacting your skin. It's just that the method of production has changed and obviously benefited us. In terms of I Heart UGG, as we've said, that was a test and that is a test. This fall season, we're satisfied with the performance. As you know, it was limited distribution. We are still waiting for our primary selling season to kick in, for the colder weather to come, and that's when we'll see where we stand on that product. We have, however, continued to evolve that product line. We'll be introducing some for spring, some new product, and sneakers and accessories, which are very compelling. And all the key price points are met. And so we're going to see how this test goes here in this next quarter and we're able to react accordingly. So -- but so far, so good. We're feeling pretty good about it at this point.
Operator: And we'll take our next question from Christian Buss with Crédit Suisse.
Christian Buss - Crédit Suisse AG, Research Division: I was wondering if you could provide some perspective on how you're thinking about the development of the European market over the next 3 to 6 months? And what regions are you seeing particular strength in? And where are there some challenges?
Angel R. Martinez: Sure. I think we talked about this a little bit on the last call. Europe presents a pretty dramatic opportunity for us, not only for the UGG brand, but also Teva and HOKA. From an Omni-Channel perspective with regards to UGG, we see still strong opportunity in E-Commerce and retail stores. We just opened our Germany site, and our Italy site for E-Commerce, that's going to provide some long-term growth for us and better connection to our customers. Germany presents the biggest opportunity right now that's in front of us after having just flip that to a sub. And we'll continue to look at other markets down the road as time evolve and those markets evolve to see if there's other opportunities for that. So the brand is strong right now in Europe, and I think we've got to elevate our game with regards to an Omni-Channel presentation, both in wholesale and retail, which will drive incremental growth. But then the market transition of Germany will provide the biggest upside there. In addition to that, we're also taking a serious look at our partner retail model over there, and I hope to be in a position in the next 6 months to be able to say we're going after that in a more aggressive manner with some key partners outside of Western Europe, where we can provide incremental growth in some of those emerging markets as well.
Operator: And we'll take our next question from Laurent Vasilescu with Macquarie.
Laurent Vasilescu - Macquarie Research: You have mentioned last quarter that about $17 million of inventory was advanced into the first quarter to mitigate a potential port strike. It sounds like the long shore man are still at the negotiating table, so I was wondering if you could provide a little bit color around your contingency plans for deliveries going forward. And then the second part is on Ahnu, I believe it was recently highlighted the brand for lower footwear for yoga market, so could you provide a little bit of color on that front? What's the opportunity in terms of revenues? When can we see product in the marketplace?
Thomas A. George: On the port strike, you're right. We did, in anticipation of the strike, we did bring -- look at what was due, brought in about $17 million, $18 million of inventory last quarter. We still consistently, and constantly evaluate that and keep an eye on that, so most of it is here. So there's not much risk there at all.
Angel R. Martinez: The only risk that we are anticipating there is that we may see a 7-day delay in some shipments if, in fact, the slowdown gets more aggressive, but other than that, I think we're in good shape from an inventory point of view. There should be no risk to what we're looking to ship in the quarter. As far as Ahnu goes, very exciting to see that product. We'll just now be showing it at the sales meeting coming up. It's a fall 2015 product offering. So it's too soon to tell, but we're very excited about the potential. The brand has many, many fans in the yoga world, and we think we've got some very innovative product to put forward. So stay tuned on that because we haven't even shown the product to our sales organization yet, so -- but there's a lot of excitement, I will say that.
Operator: And we'll take our next question from Erinn Murphy with Piper Jaffray.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: Dave, I just have a clarification question for you on the E-Commerce side of the business. So when the consumer is shopping using Internet UGG, does that sale get reported as E-Comm? And then if so, what percent of your E-Comm business today is store-for-sale sales? And then where do you see that potentially moving over time as we continue to see that's going to change and broader customer behavior?
David Powers: Yes. Great question, Erinn. It's a pretty exciting project that we've tested last year, and we've seen dramatic increase in those Internet UGG sales and take us up over 100% since we launched it in the same stores a year ago. It does get booked as an E-Commerce sale, but we, from a store perspective, we motivate the staff by including that in their overall store sales from accounting perspective. So they get credit for the sales, but as far as how it's book, it's an E-Commerce sale. So far, I think it's roughly just under 4% to 5% of total E-Commerce sales. And we haven't put a number as the target as to what we think it could be, but it is continuing to increase. And as we open more stores, more locations can become a more significant part of the E-Commerce business. The other big benefit of that obviously, is we gain all that consumer data and we can retarget them where we can build our relationship for the long-term CRM program. And as I also mentioned in the call, the Tysons Galleria store that will be opening up in November will be our best foot forward as to how we can combine those 2 worlds. And so it's more of a digital shopping experience in the store. It's much more interactive, and I think what you'll see the opportunity for us to continue to drive sales to both stores and E-Commerce through a more technology-driven digital experience in that store as well.
Operator: And we'll take our next question from Chris Svezia with Susquehanna Financial Group.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Dave, for you, just on the DTC, the physical stores, retail comps, just confidence in that rebound to get the sort of flattish to slightly up in the back half of the year. Just so I understand, it's in part improvement in the seasonality of the business, AUR, marketing, and better in-stock. And the second question I have, Tom, for you. Just to clarify, gross margin and SG&A, sort of the cadence Q3, Q4 between year-over-year growth, is most of the gross margin improvement Q4? Or is it pretty evenly balanced? And how do we think about SG&A dollar growth between Q3 and Q4?
David Powers: Yes, Chris, good question on the comps. Right now, the way we look at Q3 and Q4, this is our prime selling season, this is where we're at our best, and it's our best foot forward, as far as I'm concerned, from a product offering and in-store experience and Omni-Channel capability perspective, and our ability to target and market consumers and drive them to our channel. So I have a lot of confidence in our team's ability to execute. And in places where we have seen some cold-weather turn, we've seen strong results. So I don't look at Q2 results, particularly September, as an indication of what's going to happen going forward. I see us more normalized seasonality going into Q3 and Q4, getting us back to more normalized comps. The traffic has been a bit of a challenge in warm-weather locations, when that turns we'll be fine. Conversion is up 15% over the last quarter and that will continue. And when we get into a higher mix of price points through classics, winter and weather-appropriate products, we'll see our ASP continue to increase as well. So I would say the combination of all those things, and just being ready and be able to react quickly to the market trends particularly. And also into our outlet stores where we have much stronger pipe than we've ever had before. I think our prospects are pretty strong to get us back to a more healthy comp rate.
Thomas A. George: Chris, on the gross margin, the fourth quarter, there'll be modest gross margin expansion -- a good gross margin expansion in the third quarter. From an SG&A growth perspective, the third quarter has more SG&A growth relative to the fourth quarter. Third quarter is more marketing, more stores. In the fourth quarter, there's mid-single digit kind of SG&A growth. That's because the prior year, there was significant amount of expenses in the fourth quarter as we close the year off that at this point in time, the way we're guiding won't necessarily recur this fourth quarter.
Operator: We'll take our next question from Jim Duffy with Stifel.
Jim Duffy - Stifel, Nicolaus & Company, Incorporated, Research Division: A couple of questions. Tom, saw a strong gross margins relative to plan in the second quarter, why not a more optimistic view on gross margin for the full year guidance? Are you just being conservative here? Or is there some rationale why the strength wouldn't continue? And then secondly, Angel in response to Camilo's question, you mentioned strong sell-through of fashion products during the third quarter. You didn't comment on classic sell-through. Can you offer some comments there? And I'm curious if you're seeing a compressed sell-through season for the classics, it makes the 2Q sell-through commentary less relevant.
Thomas A. George: Jim, relative to the margin, the difference there is the quarter we just completed was a big quarter for Germany and the conversion had a significant impact, whereas the subsequent quarter, it's not as big a quarter for Germany. It doesn't have the same impact.
Angel R. Martinez: As far as classic goes, it's still early. We know from patterns of past years that the classic business, especially as we've diversify the product offering, what we define as classic now versus a few years ago is a very, very broad assortment of product, including derivatives. So we're seeing great sell-through on classic derivatives right now. Those classic derivatives, by the way, feature many waterproof products, which if -- I think it's raining on the East Coast and we just happen to run some e-mails and media on our waterproof classic derivatives today. So the main season for core classic is now probably later than it used to be when that's all we had. So people are satiating their need for classic with a variety of other classics, and we expect that as the holidays get closer, the core classic will kick in as it typically has done along with slippers, sort of the tail end in the late Q3 and -- or rather late Q2 and Q3.
Operator: And we'll take our next question from Mitch Kummetz with Robert Baird.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Couple of questions. Tom, on the Q3 guidance, just remind us what your assumption is around reorders and cancellations relative to last year. And then on that, I'm still -- I guess, I'm not sure I'm clear on the comp for Q3. I thought you'd said in your prepared remarks, kind of flat to down slightly for the year on store comp. What is it for Q3 specifically? And then help me get to the Q4 guidance, because you're talking about $0.15 of earnings. In that quarter, it seems like the earnings for the last few years has kind of gotten worse and worse and worse year-over-year. And now you're expecting that to bounce back pretty nicely. So help me understand how you get there.
Thomas A. George: On the fourth quarter, we've got significant growth from HOKA, significant growth from Teva and Sanuk, obviously some more growth from UGG as well. We'll have more stores, we have some good gross margins, and then we're continuing to start to get -- starting to get more leverage reaching inflection point on some of our overheads and our Direct-to-Consumer business. So that helps swing the needle from a lost quarter to an earnings quarter. So that's the answer on that. And what was the first question on the Q -- was it Q3?
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Yes. On Q3, just remind us what your assumptions are around reorders and cancellations compared to last year, which I know, those came in kind of better than normal. And then specifically what your store comp outlook for Q3 is?
Thomas A. George: On the reorders and the cancellations, a more normalized view of that, that's more of a mid- to high single digits kind of reorders, and sort of assuming at this point in time, it could be the same cancellations, whereas a year ago, strong double-digit reorders and very little cancellations. And the store comp for the year is flat to slightly down, whereas in the third quarter, we expect -- do we have that handy?
Angel R. Martinez: It's a negative 0.8.
Thomas A. George: In the December quarter?
Angel R. Martinez: Yes, in Q3 yes.
Thomas A. George: So it's just pretty much flat, slightly down in that quarter.
Angel R. Martinez: With a pickup in Q4.
Thomas A. George: Right. With a pickup in Q4.
Operator: And we'll take our last question from Danielle McCoy with Wunderlich Securities.
Danielle McCoy - Wunderlich Securities Inc., Research Division: I guess, I was just wondering if you can give us a little bit of color on some of the locations of the pop-up stores, how long do you they'll be open? And when they'll be open?
Thomas A. George: Yes, Danielle, great question. We see this pop-up as a test this year. We see this as a potential, great long-term strategy for our Omni-Channel network. We opened up a store in Square One mall, that's outside of Toronto. It's a 6-month lease. And the way we look at this is it's an opportunity for us to get into underpenetrated markets, locations where we either want to test to see if it is viable for a long-term lease for a store, or to just take advantage of the peak-selling season. It's great because it's a low buildout costs for us. It's in our core selling season so we optimized profitability, and there's a healthy return on those sales over the 6-month period, so it's a test right now. Initial results in the Square One mall has been very strong ahead of plan, which is encouraging. And then actually, just today, we opened up our second pop-up in the U.S. in the Walt Whitman center in Long Island, which is a lounge-focused store concept, which showcases all the lounge in home products and slippers. And so we think that this is a great test that will enable us to be much more flexible in the future , expand our footprint in a more cautious way in some of the locations where we want to test. And we're also doing this internationally as well. So the hope is that we learn from this. There's a successful model here that we continue to work on, and we use this next fall in a more aggressive manner.
Operator: It appears there are no further questions at this time. I would now like to turn the conference back to management for any additional or closing remarks.
Angel R. Martinez: Well, thank you, operator. And thank you all for joining us on the call. Let me just say that we are confident in our strategy. We're confident in our execution. We know this is now pedal to the metal time as we move into our primary selling season. We're not taking anything for granted and we're certainly not letting any assumptions get in the way of our execution and our performance. We're driving to every opportunity that we see in the market around the world. So look forward to talking to you on the next call, and really appreciate your participation today. Thank you.
Operator: This now concludes the presentation. Thank you for your participation.